Operator: Good day, everyone and welcome to the A10 Networks First Quarter 2025 Financial Results. At this time, all participants have been placed on a listen-only mode. [Operator Instructions] It is now my pleasure to turn the floor over to your host, Tom Baumann. Sir, the floor is yours.
Tom Baumann: Thank you all for joining us today. This call is being recorded and webcast live and may be accessed for at least 1 year via the A10 Networks website at a10networks.com. Hosting the call today are Dhrupad Trivedi, A10's President and CEO; and CFO, Brian Becker. Before we begin, I would like to remind you that shortly after the market closed today, A10 Networks issued a press release announcing its first quarter 2025 financial results. Additionally, A10 published a presentation and supplemental trended financial statements. You may access the press release, presentation and trended financial statements on the Investor Relations section of the company's website. During the course of today's call, management will make forward-looking statements, including statements regarding projections for future operating results, demand, industry and customer trends, strategy, potential new products and solutions, our capital allocation strategy, profitability, expenses and investments, positioning and our dividend program. These statements are based on current expectations and beliefs as of today, May 1, 2025. These forward-looking statements involve a number of risks and uncertainties; some of which are beyond our control that could cause actual results to differ materially and you should not rely on them as a prediction of future events. A10 does not intend to update information contained in these forward-looking statements, whether as a result of new information, future events or otherwise, unless required by law. For a more detailed description of these risks and uncertainties, please refer to our most recent 10-K and quarterly report on Form 10-Q. Please note that with the exception of revenue, financial measures discussed today are on a non-GAAP basis and have been adjusted to exclude certain charges. Non-GAAP financial measures are not intended to be considered in isolation or as a substitute for results prepared in accordance with GAAP and may be different from non-GAAP financial measures presented by other companies. A reconciliation between GAAP and non-GAAP measures can be found in the press release issued today and on the trended quarterly financial statements posted on the company's website. Now, I would like to turn the call over to Dhrupad Trivedi, President and CEO of A10 Networks.
Dhrupad Trivedi: Thank you, Tom and thank you all for joining us today. A10's first quarter financial results demonstrate continued execution as we delivered broad-based growth and solid profitability. Our investments designed to expand our presence and capabilities with enterprise customers are delivering the desired results and the service provider market, especially in North America, has improved modestly. Overall, A10 remains well positioned, addressing nondiscretionary security and capacity requirements with a diversified approach that provides continued durability against ongoing market volatility. Overall, A10 delivered 9% revenue growth year-over-year. Enterprise revenue grew 18%, partly as a result of depressed 2024 and service provider revenue increased 3% year-over-year. More importantly, enterprise revenue grew 12% on a trailing 12-month basis, providing an increasingly durable foundation for future growth. Market trends and global demand is largely unchanged over the last few months and customers continue to navigate evolving conditions related to higher interest rates and the growing trade policy dynamics in the United States. These various factors are creating friction impacting order timing. But as I mentioned, our solutions are increasingly nondiscretionary and high priority in terms of spending. Our solutions impact capacity and security. So while there may be delays, these delays can usually only be temporary. And over the past few quarters, the overall market conditions have improved and stabilized. Our service provider customer growth continues to be driven by the demand for greater data center capacity. The rise of AI is only adding to this demand. In addition, AI is power hungry and our solutions provide industry-leading efficiency in terms of throughput and low latency and also include integrated security capabilities, enabling high-capacity build-outs with fewer A1 products compared to competitors. As such, we are often designed into large data center projects. This is serving not only as a catalyst for our business but also a meaningful competitive advantage. We continue to allocate resources to address enterprise customers and this includes the recent acquisition of the assets and key personnel of ThreatXProtect. This accretive acquisition will expand our cybersecurity portfolio with web application and API protection. Attacks against web applications and application programming interfaces or APIs are on the rise. In particular, these threats are significantly applicable to enterprise. ThreatXProtect provides a unique WAP solution which harnesses behavioral and risk profiling to help protect enterprises from evolving threats, including threats to AI applications. We believe this capability which is delivered as a Software-as-a-Service solution represents an ideal complement to our existing AI firewall solution. This acquisition is another piece of our strategy to make A10 even more relevant in the enterprise vertical. We now offer advanced security solutions in a hybrid approach to protect apps and APIs running anywhere from public cloud to the private cloud to colocation facilities or on-prem networks. Our comprehensive A10 Defend portfolio of solutions provides hybrid DDoS protection, DDoS threat intelligence and web application and bot protection and now adds a full-featured WAP solution, all integrated into a single platform with end-to-end delivery and stronger security for mission-critical applications. I'd note that the growth of AI is driving demand in the enterprise segment as well. This trend reinforces the benefit of the ThreatXProtect acquisition and underscores our overall strategic position in the market. I am encouraged by our strategic position. Our presence with enterprise customers is strong and growing with solutions that are increasingly well aligned with current and near-term customer needs. Our solutions are also meeting the needs of Tier 1 service providers and this segment is stabilizing and returning to growth, although with continued short-term volatility. We are navigating the ebbs and flows of short-term market volatility with a strong balance sheet, delivering consistent profitability and returning capital to shareholders. As markets stabilize, we are well positioned to outpace the market in terms of revenue growth and increase our profitability. With that, I'd like to turn the call over to Brian for a detailed review of the quarter. Brian?
Brian Becker: Thank you, Dhrupad. First quarter revenue was $66.1 million, an increase of 9% year-over-year. The growth was broad-based with enterprise revenue increasing 18% faster than consolidated revenue and service provider revenue increasing 3%. The results reflect the continued normalization of service provider spending patterns and the investments we have made in the Enterprise segment. We continue to experience quarter-to-quarter volatility in the service provider sector. This quarter, North America was relatively strong. Asia Pacific results were impacted on a year-over-year basis, mostly as a result of strong Q1 last year related to large infrastructure projects in Japan. The overall trends are increasingly positive and our global diversification continues to work in our favor. Product revenue for the quarter was $36 million, representing 54% of total revenue. Services revenue was $30.2 million or 46% of total revenue. Total deferred revenue was 8% increase to $152.7 million. During 2024, A10 introduced several new products and refreshed certain other products. As a result, we have been entering into large long-term service agreements, typically 5 years in length compared to 3-year terms previously seen. As a result, we are experiencing a short-term impact on our service revenue as contracts are spread over 5 years rather than 3. However, our long-term deferred revenue is increasing, providing us greater visibility into future revenues and demonstrating the confidence our customers have in A10 and our solutions as we are designed into longer-term deployments. With the exception of revenue, all the other metrics on this call are on a non-GAAP basis, unless otherwise stated. Full reconciliation of GAAP to non-GAAP results are provided in our press release and on our website. Gross margin in the first quarter was 80.9%, in line with our stated goal of 80% to 82%, inclusive of short-term impact from the acquisition of FedEx Protect which added hosting and support-related costs. Adjusted EBITDA was $19.5 million for the quarter, reflecting 29.5% of revenue. Non-GAAP net income for the quarter was $15 million or $0.20 per diluted share compared to $12.7 million or $0.17 per diluted share in the year ago quarter. Diluted weighted shares used for computing non-GAAP EPS for the first quarter were approximately 75 million shares, down slightly year-over-year due to our continued share buyback. On a GAAP basis, net income for the quarter was $9.5 million or $0.13 per diluted share compared to net income of $9.7 million or $0.13 per diluted share in the year ago quarter. During the quarter, we generated $15.2 million in cash from operations. As expected, cash generation normalized in the first quarter, in line with historical patterns. Turning to the balance sheet. As of March 31, 2025, we had $355.8 million in cash, cash equivalents and marketable securities compared to $195.6 million at the end of 2024. On March 17, we issued $200 million in convertible senior notes. Shortly after we issued an additional $25 million to the original purchaser. The notes will accrue interest at a rate of 2.75% per annum payable semi-annually on April 1 and October 1 of each year, beginning on October 1, 2025. The notes will mature on April 1, 2030, unless repurchased earlier, redeemed or converted. Before December 1, 2029, note holders will have the right to convert their notes only upon the occurrence of certain events. As a result of this transaction, we ended the quarter with long-term debt of $217.7 million and increased our cash, cash equivalents and marketable securities to $355.8 million or approximately $4.74 per share. During the quarter, we paid $4.4 million in cash dividends and repurchased $47 million worth of shares. As a result of the debt offering, we used approximately $44.2 million of the net proceeds to repurchase shares of common stock in privately negotiated transactions effected through one of the initial purchasers of the notes or its affiliate as the company's agent and a repurchase price of $19.55 per share. The Board has approved a quarterly cash dividend of $0.06 per share to be paid on June 2, 2025, to shareholders of record on May 15, 2025. We have nearly exhausted our prior $50 million share repurchase authorization as of March 31 but the Board has now authorized a new $75 million share repurchase program. We continue to target gross margins of 80% to 82% and adjusted EBITDA margins of 26% to 28% on a full year basis. I'll now turn the call back over to Dhrupad for closing comments.
Dhrupad Trivedi: Thank you, Brian. A10 continues to deliver solid execution, navigating uncertain times with a strong balance sheet and innovative solutions. We have established a business model that enables us to reallocate resources to address changing market conditions and flex expenses to preserve profitability and shareholder returns. We continue to outperform our peer set and our tight alignment with AI trends positions us for continued success. Operator, you can now open the call up for questions.
Operator: [Operator Instructions] Your first question is coming from Gray Powell from BTIG.
Gray Powell: Okay. I'm in the back of a car, so hopefully, you can hear me okay. But yes, so I just want to start off with maybe a couple of questions around tariffs. I mean just how is the uncertainty there impacting customer conversations in recent weeks? And I guess my general understanding was that like in the week after Liberation Day, a lot of customers, just broadly, not even AT specific, a lot of customers were -- felt like it was almost like going into COVID lockdowns -- and in recent weeks, maybe things or tone of conversations has gotten better. So I'd just love any insights on your discussions during the month of April and if there's any material difference between what you're seeing between service providers and enterprise customers and how they're responding.
Dhrupad Trivedi: Yes. No, great question, Gray. So I think I would say, broadly across all customers, from a demand perspective, right, what we are seeing is maybe a little bit different but similar. So in many cases, the phenomenon we see with customers in Asia Pacific or EMEA is while they may not have a direct link to understanding tariff impact being up or down, there is certainly a little more caution because they are concerned about in the long term, what does that mean for the macro economy in 2 quarters or 4 quarters or 6 quarters, right? So there is a little bit more caution, particularly on larger SP projects which have a longer horizon for getting the return on investment back. As it relates to enterprise customers, I would say the concern is a little bit less. And then including also, I would say, U.S. So for all customers, I think we see 2 approaches, right? So one is there are some customers who are waiting for July 7, if you will, as sort of a magic date to know what that means and kind of waiting it out to see where it ends up. And we have some customers who are concerned to where they are wondering if it's better for them to procure a little bit ahead and protect against that, right? So I would say net impact for us right now is neutral but it's hard to say which of those forces is bigger than the other. And it's -- I would say what is really unknown beyond sort of the tariff which is a first level input is how the subcomponent manufacturers, right, who make things like chips, et cetera, will react. So that's an unknown. So can't do much about it. But overall, we are seeing caution in the spending pattern more so than a complete freeze.
Gray Powell: Understood. Okay. I really appreciate the transparency there. And then just maybe one more question, if I may. What kind of visibility do you have on some of the large customer initiatives to build out AI data centers? And just how should we think about that materializing in the form of incremental demand?
Dhrupad Trivedi: Sure. So I think I would characterize it as the following. So we are maybe in the first wave of large AI build-outs where the companies who you would expect, right, are building out big data centers as part of their AI initiatives to put in capacity. And that applies to, obviously, public cloud as well as private cloud kind of companies but also large enterprises doing that. I would say the visibility we have into that is reasonably good. I think a lot of those companies tend to kind of modulate their plans, however, based on their financials and how they evolve, so a little bit uncertain but generally understanding of what is their long-term play. The real value of the market, I think, is going to be in a year to two when enterprise customers are doing more inference models, on-prem or private cloud, particularly outside of U.S. And I would say, in that case, we are engaged with them on that road map and rollout but they are not in the mode of actually building stuff yet, right? So -- but we think that's a bigger, more durable, longer opportunity and are engaged early with a lot of them.
Operator: Your next question is coming from Christian Schwab from Craig-Hallum.
Christian Schwab: Congrats on a solid quarter. Understanding the overall cautious pattern that you're seeing but yet the outperformance in the current March quarter, are you still anticipating high single-digit revenue growth or maybe you weren't anticipating, I guess that's where the Street is at. But are you comfortable with high single-digit revenue growth for the year in this environment?
Dhrupad Trivedi: Thank you, Christian. Good question. So I think, as I said before, as it stands now, we are comfortable with that expectation as it stands today. We don't expect that to change a whole lot until maybe we get through July, right? And if there is macro shifts that are different than what we are expecting. That's hard for us or anybody probably to predict. So -- but outside of anything being very unusual, we expect to be in that similar ballpark, yes.
Christian Schwab: Perfect. And then can you just remind us on the competitive front on the data center capacity, AI-driven product portfolio, who you face most often as far as competition? And does it vary by geography?
Dhrupad Trivedi: Yes, sure. Good question. So I think the competitive dynamic is not that different than the typical data center build-outs. It does vary by geography. And what I mean by that is we are partnering with many of our existing large service provider type customers, whether it's in Japan or Europe or U.S. and evolving with them as they are building out their own AI data centers, right? So it's a logical evolution of what they were doing with us. And in that sense, right, we are not facing kind of a new wave of competitors from a technology provider perspective. I think there's more of the players in maybe as it relates to building the physical data centers. But as it relates to the core technology, I think we are not in any different competitive situation. It's same differentiation that has helped us before.
Operator: Your next question is coming from Hamed Khorsand from BWS Financial.
Hamed Khorsand: So first off, on the enterprise side, is the growth that you saw this past quarter a dynamic from that large customer or large order you received last year? Or is there something else here that's helping you grow this past quarter? Yes.
Dhrupad Trivedi: Good question, Hamed. So I would say if you look at our enterprise revenue by quarter in the trended numbers, the reason why that percentage looks really big has more to do with a bad or soft Q1 last year. And that's why I think it's more important to see that on a trailing 12-month basis versus the previous 12 months, that revenue is up about 12%. So we think that number is more indicative of continued progress. We did get a small follow-on repeat order from what we had talked last year but that was not a major reason here, right? So we had multiple kind of customers that drove that growth and then we were comparing it to a soft Q1 last year which made that number look bigger on a Q-over-Q basis. But even on a 12-month basis, I think the 12% is more reflective.
Hamed Khorsand: Okay. And then on the service provider side, you were talking about North America being strong but then you're saying that there's caution. Is there caution among every one of your customer base within service provider? Or is it just a particular subset?
Dhrupad Trivedi: Yes. So I would say that service provider year-over-year grew just about 3%, right? So that's -- I would say that's better than not growing but it's not a big number, right? So I would say it is improving and stable in the sense, not declining. The caution, I would say, is broad-based. I think there are a few of them who are more bullish, right? But I think the rest are kind of cautionary as it relates to macro conditions and how they evolve. So -- but there are a few who are pretty aggressive in what they are doing and that has kind of helped us propagate. But when we see the long-term plans, we say stabilization in the sense that most of the customers will spend something this year that we expect. We just don't know exactly which quarter maybe.
Hamed Khorsand: And lastly, your sales and marketing was down this year compared to last year. Is there a reason for that? Or are you just managing costs?
Dhrupad Trivedi: Yes. I think there's no reason for that. I think we just continue to monitor that in terms of our EBITDA margin. And second, I would say, right, is to do that and continue to invest in new solutions like AI and other things, you can see R&D is up. And so to get to the same EBITDA, right, it has to net out somewhere.
Operator: Your next question is coming from Simon Leopold from Raymond James.
Simon Leopold: A couple of things I wanted to check on. One was in the prior quarter, you had talked about targeting a full year EBITDA of 26% to 28%. Certainly, there's a lot of moving parts that are changing but just want to check in on how you're feeling about that target today.
Dhrupad Trivedi: Yes. Thank you, Simon. So I think we feel pretty good about being in that range of EBITDA of 26% to 28%. And the way we think about it is we may face some fluctuation on input costs and so forth with tariffs and we'll have to manage through that. We'll have to manage OpEx through that. But we are confident and committed to kind of getting to the 26% to 28%.
Simon Leopold: And then in terms of your contract manufacturing partners, I think most, if not all, of your exposures to Taiwan. I certainly appreciate the fluidity of the tariff environment. But how do you think about that strategically? I know you can't change overnight but do you think about trying to diversify? And what would it take to do so?
Dhrupad Trivedi: Yes. No, good question. And I think I would say there are 2 layers to it. So one is, as it relates to assembly and manufacturing, you are correct. We are engaged with those partners to understand how to build something more resilient, more flexible footprint globally because still 50% of our business is not to U.S., right? So their impact is different. And so yes, absolutely, we are continuing to work and it takes time to requalify the line and things like that, right? But absolutely something we look at. The second layer that is a little harder to quantify is within that, right, there is a supply chain where you might be getting chips from a U.S. company or et cetera, right? So in those subcomponent level, it is hard to know where that lands after July and we monitor that. But as it relates to diversity of sourcing and improving that kind of profile for us, absolutely something we are involved in. And we were already looking at that for things like disaster recovery, right? So it's a matter of accelerating some of those initiatives.
Simon Leopold: And then just one last one. We've seen quite a bit of movement in exchange rates in the last month or so. Could you help level set how we should think about that? Because you obviously have a lot of yen exposure and just how to quantify that in terms of both the top line as well as operating aspects.
Dhrupad Trivedi: Yes. So that's right. I think our business is conducted everywhere in U.S., except Japan. In Japan, it's in yen. Typically, from a demand perspective, I think we haven't seen a lot of movement because of that reason. I think the projects tend to be more driven by the project time line and not very, very fluid based on exchange rate going up or down a little bit, right? So certainly, we see that as -- now, of course, that translates to revenue risk for us. And I think about 2 years ago or 3 years ago, right, we don't FX adjust our top line but we had about 200 basis points impact on growth from the exchange rate. So that's on the top line. We obviously focus on the customer and their project need and we take that exposure. Below that, I think we certainly on contracts we already have and receivables and so forth, we tend to hedge against that so that we are protecting that exposure as much as we can.
Operator: Your next question is coming from Hendi Susanto from Gabelli Funds.
Hendi Susanto: Congrats on positive year-over-year growth. Dhrupad and Brian, I would like to ask about the product refresh. Brian mentioned that. Like can you compare and contrast what the refresh outlook looks like for this year compared to the past and maybe down the road?
Brian Becker: Yes. Good question, Hendi. What I was referring to is normal cycle product upgrades. So customer buys products and typically would depreciate that product in our Service Provider segment between 5 and 7 years. So at some point, the product becomes non serviceable and no longer performs to the spec. That's the product refresh cycle I was referring to. It wasn't that we suddenly had a revamp of our product line, nothing like that. It was just normal course of business. It just so happened that there was a pretty significant switch in 2 product lines at the same time which usually we stagger over a smaller period. But again, it's normal course of business, nothing that really changed the outlook from a customer's perspective and really would just be considered a shift from service renewals to product increase.
Dhrupad Trivedi: Yes. And the refresh cycle is driven by the customers' usage cycle, not necessarily us making them all change their product, right? So...
Hendi Susanto: And then second question, Dhrupad, you mentioned that the longer and bigger opportunity is in the enterprise AI inferencing solutions. And then you made a comment particularly outside of U.S. May I know why you emphasize opportunity outside of U.S. for the enterprise inferencing?
Dhrupad Trivedi: Sorry, no, I think the opportunity is equal everywhere. And I think, obviously, U.S. is a very big market. I think what I was highlighting is that in the U.S., the market has 3 or 4 major players and that's what everybody does. Outside of U.S., many, many of our customers are in countries which have data sovereignty and other data privacy reasons. And for those reasons, they are building private clouds and private LLM. And that is what I meant by being a different type of opportunity versus having to be 1 of the 3 guys in the U.S.
Hendi Susanto: And then last question for me. If there's any tariff impact and then you need to negotiate price with the customers, like the choice between like new pricing or absorbing that, how should we think about the likely scenarios?
Dhrupad Trivedi: I mean I think that's a very, very difficult question to have a perfect answer for. So certainly, I think our expectation is if there is tariff impact, we would work with our customers to figure out how to share that. And it's somewhere between 100% and 0, right, that they would share. And I think we would need to have a better view after July or whenever to be able to have those conversations, right? Because today, we don't know if that impact is going to be 0%, 30% or 150%. So it's hard to actually have those conversations. But of course, our goal will be that because the nature of our customers is also one where they are very worried about performance of the network. They want to make sure, of course, that A10 can continue to invest in R&D and drive more innovation versus buying the lowest cost commodity on the market, right? So we think that's the profile of our customers, that's our company profile. So we would jointly solve that problem once we know what the problem is.
Operator: Thank you. That concludes our Q&A session. I will now hand the conference back to Dhrupad Trivedi for closing remarks. Please go ahead.
Dhrupad Trivedi: Thank you. And thank you to all of our shareholders and employees for joining us today and for your ongoing support. Thanks.
Operator: Thank you. Everyone, this concludes today's event. You may disconnect at this time and have a wonderful day. Thank you for your participation.